Operator: Welcome, everyone, to Telia Company's Q3 2023 Results Presentation. And with that, I will hand over to Telia Company's Head of Investor Relations, Erik Strandin Pers. Please go ahead. The floor is yours.
Erik Strandin Pers: Thank you, and welcome, everyone, to this call. We have here in the room, our President and CEO, Allison Kirkby; and our CFO, Eric Hageman. And I hand over to you, Allison.
Allison Kirkby: Thanks, Erik, and good morning and a warm welcome, everyone, to our third quarter results. And in addition to being very pleased with the progress that we've made since we last met, I'm also delighted to have Eric here today, our new Group CFO. Welcome, Eric, and what a great quarter to start. As you all know, our focus this year has been very much on restoring profitable growth momentum in our Telco operations, and the third quarter results are proof that we're making the progress we promised. We're also making progress on the restructuring of our TV and Media business. However, we are still in the midst of a relatively challenging advertising market. As you've seen this morning, Telco service revenue growth accelerated to 3.9%, which is the eighth consecutive quarter of growth. Unlike previous quarters, growth is broad-based across all markets, across both Consumer and Enterprise. And in this quarter, we saw both mobile and fixed equally growing around the 4% rate. New but expected this quarter is the energy turn from being ahead to a tailwind, something that coupled with the accelerated service revenue growth and lower OpEx, driven by sales and marketing efficiencies, resulted in an all-time high 9.3% growth for Telco EBITDA. The full group EBITDA growth was 7.6% as TV and Media continue to weigh on the group due mainly to the weak Swedish advertising market, but the drag was sequentially better than what we saw in Q2. Operational free cash flow improved to SEK 3.4 billion, up from SEK 1.9 billion this time last year. And the structural part reached SEK 3.7 billion, up from SEK 2.6 billion last year, so very much in line with our plan of a materially improved second half cash flow generation. And we still expect another step-up in the fourth quarter with a significant positive contribution from working capital. Leverage decreased to 2.53x from strong cash flow generation supported by the improved EBITDA. And we continue to expect that we'll be back within our range when we close out the year. Strategy execution has also continued at pace. On 5G, we continue to stay ahead of competition in most markets. And in the quarter, we saw our coverage reach 87% of the Nordic/Baltic population. Also in the quarter, the Swedish multiband auction was concluded with Telia gaining significant amounts of spectrum, both nominally and relative, and by that secures the strongest spectrum portfolio in the country for the next 25 years and closes the gap we've had to competition for the past 15 years and at a price level significantly lower than market expectations. Furthermore, the investments we've made in new mobile networks are yielding commercial benefits with us, for example, now almost closing the historical network perception gap in Finland. This clear progress on the network leadership side across the group supports NPS trends, which have been positive throughout the year with significant improvements in this quarter for Sweden, Finland and Lithuania. And finally, we also saw Enterprise digital services that I'd like to call beyond connectivity, its growth also continuing to accelerate. On improving capital allocation, another strategic priority for us, the divestment of Telia Denmark entered its final phase following the signing of a binding SPA. And we continue to expect the deal to close in the first quarter next year at the latest with the net proceeds to be used for deleveraging purposes, hence, bringing our leverage down to be comfortably within the target range of 2 to 2.5. And finally, our outlook metrics are updated, which I'll come back at the end of the presentation. Here are the four key priorities we set out to drive sustainable growth. And based on what we're seeing in the quarter in terms of our financial, commercial and operational performance, I'm absolutely certain that this four-pronged approach to building a Better Telia is delivering and is the right strategy for us to continue to pursue. Let's move to Sweden where we continue to be far ahead of competition with 5G rollout and network modernization. Population coverage improved to 77%. And further on the network side, as I mentioned, we're absolutely delighted with the outcome of the recent spectrum auction. Despite a tough economic environment in the country at the moment, we remain very resilient. Service revenue growth accelerated to 2.2%, driven predominantly by Enterprise where we saw a 5.4% increase, the highest growth rate ever recorded in Sweden Enterprise, with connectivity growing 5% and digital services, including security, growing 14%. Telia Cygate had an excellent quarter with 42% growth, albeit partly on the back of providing new digitalization services to Sweden's biggest region. In the Consumer segment, we saw a continued solid development for both broadband and TV. Mobile was stable as price increases were offset by a continued mix impact. But importantly, despite the economic environment and despite sustaining premium price levels in the market, we are growing our subscriber base. Excluding the impact from legacy and roaming, underlying service revenue growth continued to stay very healthy at 4%. And we saw a slight reduction in legacy pressure as the drop for both fixed telephony and broadband is somewhat compared to last year. EBITDA growth improved to 4%, supported by the growth in service revenue and was further amplified by lower marketing spend from an improved channel mix. Positive FX gains and an easy cost comparison from an inventory write-down last year also contributed. Moving on to the operational side of things. Mobile subs grew by 8,000 in each of the Consumer and Enterprise segments, supported by a record low churn level, now below 13%. ARPU remained unchanged, owing to growth in Telia's family proposition and in the Fello brand. And the Consumer NPS, and that's the Telia Consumer NPS, continue to gradually move in the right direction, supported by the aforementioned network modernization, 5G rollout and the commercialization of it. Our broadband subscriber base remained stable as growth in fiber and fixed wireless access compensated for the ongoing decline in DSL subs, of which we now only have 61,000 remaining. And new fiber pricing taken earlier this year resulted in another quarter with fiber revenue growing around the 10% mark. And in TV, Telia was again awarded for having the best TV service, and we also continue to grow our subscriber base both in the MDU and SDU segments. ARPU increased only slightly due to a somewhat negative mix, but we expect this to improve in the fourth quarter and onwards following the September implemented price increases, which were in the range of 16% to 25% for our basic TV services. Turning to Finland where we're seeing our focus on network quality having a positive impact. First, our 5G network has now reached 90% pop coverage. Second, the share of modernized sites now exceeds 50%. And finally, we saw our network perception improve to a level almost on par with the market leader. The improved network perception is also benefiting our NPS, which continues to improve across all product categories and reached an all-time high in both Consumer and Enterprise. Mobile revenue growth continued to trend positively with an almost 3% increase for the quarter, an acceleration from the second quarter, driven by continued strong development in consumer ARPU. EBITDA growth accelerated sharply and reached double-digit growth levels as continued service revenue growth was amplified by lower cost for energy, improved productivity from transformation initiatives and an improved stack as we continue to shift our channel mix towards own channels and stay disciplined when it comes to promotion levels. And just to note, the energy tailwind was only about 20% of that total EBITDA growth. The subscriber base declined slightly, equally driven by Consumer and Enterprise, while ARPU remained strong, growing 5% overall, supported by a 10% growth in Consumer, partly offset by Enterprise declining 2% from our strength in the public sector. Moving to Norway, 5G coverage continues to nudge upwards and we now reached 93% of the Norwegian population, which is a key enabler to the ongoing growth we're seeing in fixed wireless access. Financially, Norway continues to deliver excellent performance with another quarter of service revenue growth above 5%, supported by both Consumer at 1.6% and Enterprise at 3.3%. Also, Wholesale revenue growth developed strongly and accounted for about half of the 8.2% growth in mobile. And this is mainly a result of the new Fjordkraft agreement reaching through run rate, but also due to higher revenue from our other Wholesale contracts. EBITDA remained strong at 10%, supported by the service revenue growth, but also lower operational expenses, primarily related to energy and a bit of sales and marketing. And the mobile subscriber base remained flat also this quarter, but ARPU continued to show healthy growth and increased 3%, supported by Consumer growing 5%. Our Baltic businesses have been strong for several quarters now, and they stepped up further in the quarter on the back of excellent underlying trends and now amplified by energy cost tailwinds, especially in Lithuania. In Lithuania, we successfully delivered connectivity for the NATO summit early in the quarter, receiving White House accreditation for us and one of several levers that took service revenue growth to 10% with mobile growing 9% and fixed growing 11%. And despite inflation, the flow-through to EBITDA was, to say the least, excellent, resulting in EBITDA growth of 19% for the quarter. The energy tailwind was only about five percentage points of this growth. Finally, our NPS hit an all-time high during the quarter, evidence of our strategy having a broad impact for all our stakeholders. Estonia also had an excellent quarter with both mobile and fixed revenue growing 7%. And like in Lithuania, EBITDA growth clearly outpaced inflation, growing 15% and still strong, excluding energy growing 13%. Finally, to TV and Media, where we continue to be impacted by a very weak ad market, especially here in Sweden. Advertising revenue declined 16% in the quarter, which was sequentially worse than Q2, but in line with what we expected. Meanwhile, pay TV was stronger with direct-to-consumer OTT revenue growing 9%. EBITDA declined in the quarter by 44%, which is equal to just over SEK 100 million, driven by the drop in advertising revenue and only partly mitigated by lower operational expenses and some positive FX as a rare tailwind this quarter. The restructuring to refocus this business around the TV4 and MTV platform continues, focusing it more on stronger digital capabilities, a more focused premium sports offering and a leaner cost base. And in the quarter, the C More content offering was merged into TV4 and MTV, and the new TV4 Play+ service was launched. And just last week, we had a similar launch for MTV Katsomo in Finland. Looking at the subscriber base, we see an increase driven mainly by sports seasonality and the recently launched TV4 Play HVOD service, which is off to a positive start. And with that, Eric, I'm going to let you summarize the financials.
Eric Hageman: Thank you. Thank you, Allison. And let me briefly summarize those third quarter financials. And starting with service revenue, which Allison already mentioned, improved further to 2.6% with Telco growth of 3.9%. All Telco units grew nicely with Sweden and Norway making the largest contributions. Telco service revenue is driven by a healthy growth of 1.8% in Consumer and a particularly strong growth in Enterprise, up 4.7% year-on-year. Looking at EBITDA, it's a strong quarter with 7.6% growth and Telco even better at 9.3%. In Q3, all Telco units grew EBITDA by double digits, except Sweden, which grew 4%. Part of this EBITDA uplift is explained by energy cost, which turned to a tailwind as expected and were SEK 120 million lower than in Q3 last year. TV and Media had a decline in EBITDA. But as you can see from the chart, it is much less of a drag to group performance than in Q2, declining around SEK 100 million in the third quarter versus about SEK 350 million in the previous quarter. As this strong Telco performance is also why we upgraded the outlook to low single-digit growth for the full year. Moving now to the next page to OpEx, which, despite the healthy top line growth, reverted to a decline of 2.1% year-over-year. The 2 main call-outs are resource costs were kept flat as employee salary inflation could be offset through savings on cost for consultants and sales and marketing savings materialized nicely, mostly as a direct result of structural channel efficiencies across the units. The net OpEx savings from the transformation measured against our baseline stands at around SEK 1 billion. As you all know, the SEK 2 billion net savings target was set in 2021 in a different noninflationary market environment and will not be reached by the end of year three as originally envisaged. But the transformation agenda continues nevertheless and continues to deliver efficiencies. Now looking at CapEx, it was SEK 2.9 billion in the third quarter from SEK 600 million lower year-over-year, for one because while 5G investment continues, at 87% pop coverage, we now have passed 5G peak investments. For Q4, we will again see a material year-over-year decline, and we now expect full year CapEx of around SEK 13.5 billion. Moving to the cash flow table on the next page. The structural part of operational free cash flow in the quarter was SEK 3.7 billion, SEK 1.1 billion higher than last year and on track to be around SEK 7.5 billion for the full year, as you have heard us guide today. This was mainly driven by the SEK 1.7 billion higher EBITDA and the SEK 0.3 billion lower cash CapEx. Cash interest was kept flat despite higher market rates due to the positive impact of phasing and also since we have around SEK 100 million higher interest received on cash balances versus the same period last year. Looking at working capital, there was a slight negative contribution in the quarter. This was driven by a positive contribution from vendor financing, offset mainly by the usually negative seasonality in Q3. In addition, there were some phasing of billing events, moving cash from Q3 into Q4. Let's now look at the next page. Cash flow generation in Q3 was in line with expectations. As you probably saw this morning, we expect the structural part of operational free cash flow to land at around SEK 7.5 billion for the year, and note that this excludes the contribution from Denmark. Q4 cash CapEx is expected to be materially lower than the fourth quarter last year when it was particularly high, driven by underlying high CapEx with vendor financing payments added on top. Total operating free cash flow, including working capital, should be supported by a positive contribution from both vendor financing and from the underlying working capital movements. Lastly on this page, the vendor financing balance, which stood at SEK 11.4 billion in Q4 2022, is expected to end this year somewhere around SEK 11 billion. On the next page, we set out the net debt and leverage development over the course of the quarter. Net debt declined by SEK 2 billion to SEK 79 billion despite the SEK 2 billion dividend payment, driven by the structural cash flow generation in the quarter, as I already mentioned on the previous slide. Combination with growth in EBITDA, which was almost SEK 800 million on a total operational basis, this resulted in a leverage ratio of 2.53x, down from 2.66x in the previous quarter and close to our 2x to 2.5x target range. As stated before, we expect leverage to be back in the target range by year-end and within the target range after the close of the Danish transaction in Q1 next year. With that, I'll hand back to you, Allison, to summarize.
Allison Kirkby: Thanks, Eric. So heading into the final quarter of the year and looking at the outlook, we have moved Denmark out of our continuing operations scope as it's now an asset held for sale, and we're narrowing in on our full year guidance. Service revenue growth of low single digits for the full year remains, and that's despite the ad market headwind. On EBITDA, we upgrade to a low single-digit growth for the full year despite TV and Media dragging us down to flat for the first half, as we've now seen an accelerated Telco momentum this quarter. CapEx expected to end the year at around SEK 13.5 billion, in line with previous guidance, but excluding Denmark now. And the structural part of operating free cash flow is expected to be around SEK 7.5 billion, in line with what we said last quarter when we guided you to the lower part of the SEK 7 billion to SEK 9 billion range and despite the fact that we've removed Denmark. In fact, with this guidance now in place and if you include Denmark's structural cash flow, the structural part of operating free cash flow for the year will be broadly in line with our dividends for the year, and that is a slight upgrade versus what we indicated last quarter due to, again, the underlying strength of the momentum we're seeing in our Telco operations. So summarizing the quarter, the year so far and the outlook, we're clearly successfully executing on our strategy and delivering on what we set out to achieve when we started on our journey to create a Better Telia three years ago. Telco growth is restored and further improving, supported by pricing and improving NPS, solid consumer trends and continued strong Enterprise services beyond connectivity. And as a result of the many structural cost interventions we've made and despite heightened inflation and having passed peak CapEx, there is now an improving flow-through to both EBITDA and cash flow. This is by far Telia's best Telco quarter in modern times. Network modernization and 5G rollout, on track and well ahead of competition, strengthening our leadership position and underpinning our premium market position, which, combined with our leadership in digital services, is enabling in particular the Enterprise momentum. And having now secured the leading spectrum position in Sweden for the next 25 years, we're in great shape for Telia to be the undisputed network leader for the foreseeable future. TV/Media, while it's still tough, but we acted early and restructuring and brand consolidation is well underway, putting us in a stronger position for next year onwards when market conditions improve. Our second half cash flow turnaround is on track despite the TV/Media headwinds, and working capital is expected to rebound in the fourth quarter, in line with the profile we've been showing since the start of the year. The Denmark sale is progressing. It's on track to close early next year, which will, of course, strengthen our balance sheet going forward. So all in all, it's been a busy quarter and a busy year, but I couldn't be prouder of the rather excellent outcome of all of our hard work to create a Better Telia. So with that, let's now take your questions.
Operator: [Operator Instructions] The first question is from Andrew Lee at Goldman Sachs.
Andrew Lee: Yes, good morning.
Operator: Your line is now open. Please go ahead.
Andrew Lee: Good morning, Allison, and welcome, Eric. Obviously, like improved trends across the board. And so just wanted to kind of dig in a little deeper because this year has been kind of very turbulent in terms of inflation and rates. And so I guess what investors are trying to understand is what's the -- what are the true underlying trends? And how should we think about them? So first question was just on your Telco operations. Clearly, you've seen structural and underlying improvement, and you mentioned that, Allison, in your sign-off comments. Do you think your Telco operations are now delivering what the structural quality should -- you expect them to deliver from their structural quality? And clearly, you've got inflation and FX and energy turbulence in the numbers at the moment. But what does -- how should we think about what the structural growth should be for those operations going forward? Should we expect further underlying improvement? And Tele2, for example, guides to kind of mid-single-digit EBITDA growth on an underlying basis. Is that kind of commensurate with how you think about things? Just any help you can give in terms of -- yes, sorry.
Allison Kirkby: Yes, yes, yes. No, great question, Andrew, and thanks for the question. Yes, clearly, it was a blow-away quarter at 9.3%. If you just kind of step back a bit and look at how has this business been performing, excluding some of the energy fluctuations and -- excluding energy fluctuations and a little bit of FX one-offs here and there, it's been consistently growing 2% to 4% on the top line, and it's now consistently growing 4% to 6% on the bottom line. And it was always our ambition when we set out on our journey three years ago to get the Telco business to low single-digit consistent revenue development and low to mid on the EBITDA development. And I'd say what we're seeing is slightly ahead of that. Some of it temporary, the energy tailwind, but we still got another several quarters of that being a tailwind and one or two one-offs this quarter. So that kind of 2% to 4% on the top line, 4% to 6% on the bottom line is the consistent development we've seen excluding energy fluctuation for quite some time. And if you look into next year, most of our large markets have already agreed the salary reviews and they're more at the 3% rate. In fact, there's one market, I think, it's 2.5% rather than the kind of 4%, 5%, 6% rate that we saw this past year and last year. So I think you'll start to see salary inflation start to come down and all of the inflationary pressures start to come down a bit. But what you are seeing is we've built really structural and disciplined approach to pricing now that we'll still continue to have good momentum in pricing.
Andrew Lee: That's really helpful.
Allison Kirkby: 2% to 4% and 4% to 6% for me is the real underlying, and that excludes energy. So there's still going to be an energy tailwind for the next few quarters, Andrew.
Andrew Lee: Very clear. Can I just ask one follow-up? Just inflation impacts on CapEx, are we seeing much of that? Obviously, you've had a peer won on its CapEx in the last few months. How should we think about CapEx given the inflationary environment into next year?
Allison Kirkby: Yes, we've seen a little bit of FX. As you noticed, our guidance now for the year, ex Denmark, is around SEK 13.5 billion. And so that puts us in the upper end of the range that we set out this year, and that is FX-related.
Andrew Lee: Thank you.
Allison Kirkby: Yes. So as for next year, we're still finalizing the plan for next year, and I'm probably not the one to ask about next year at the moment.
Andrew Lee: Thank you.
Operator: Our next question is from Oscar Ronnkvist at ABG. Your line is now open. Please ask your question.
Oscar Ronnkvist: Thank you. Good morning, Allison, and Eric. Just first one, I've had a question on TV/Media. I think that -- I mean the cost efficiencies were a bit better than at least I expected. So could you just elaborate a little bit on the efficiencies we saw in Q3 now and what we can expect going forward with the cost efficiencies in Q4, Q1 and so on? Thank you.
Allison Kirkby: Okay. So the cost efficiency was inflated by some foreign exchange gains in the quarter, which was worth around SEK 50 million. And so we can't guarantee we'll have that next quarter. The real benefits from cost efficiency will happen during next year.
Oscar Ronnkvist: All right. Thank you. Just the next one, I can -- just on the handset sales, which I think is kind of muted at the moment. I just wanted to get a sense of your churn rates, if you view that will be a positive impact for you that people are switching operators a little bit less than before, if you could say anything about that?
Allison Kirkby: Yes, handset sales have been very muted all year. But clearly, the new iPhone 15 is proving to be very popular. And we are out of stock of them in all of our markets, as I think everybody else. So that certainly has given a little bit of boost. But despite that, we ended the quarter with the lowest churn ever in both Sweden and Finland. And we've got great subscriber development, particularly in Lithuania at the moment. So yes, churn rates are low. There is less switching going on. We're also doing -- there is less activity in external retail at the moment. I think you're seeing the whole market, external retail is weak because of other product categories. So certainly, for us, that is a positive shift into our own channels, and that also helps churn rate and customer NPS.
Oscar Ronnkvist: Understood. Just a final one, on the accelerated service revenue growth, just if you could elaborate a little bit on the ARPU growth and what is due to price increases support and just on what is the mix? And I think that Tele2, for example, yesterday said that some further mobile price increases from them in Q3 could support Q4 on a net basis. So could you just update us on where you are on price increases and if we could see a further acceleration from...
Allison Kirkby: And this in Sweden?
Oscar Ronnkvist: Yes, yes, Sweden.
Allison Kirkby: Is this in Sweden in particular? Yes. And this doesn't need to be your last question, otherwise, you're keeping everybody holding. But on Sweden, we have been leading all of the pricing in the market apart from at the low end when Hallon finally went up by between SEK 10 and SEK 20 earlier this year. We have a very disciplined approach to broadband pricing that generally goes up once a year. That flows through into our Wholesale pricing as well. We've just taken between 16% and 25% pricing on our basic TV package. We've just taken our family tariff up by SEK 20. That's a 10% increase on the extra SIM in the family tariff on Telia. And we are looking at taking some other pricing moves and repositioning our mobile portfolio in the coming quarter. So we're staying very, very focused on driving up ARPU on the back of the investments that we're putting into our network. And it's coming through very strongly in broadband, in TV, in new Enterprise contracts that are now index-linked. And on mobile, we're doing all we can to try and get that ARPU momentum growing positively despite it being a tough economic climate out there.
Oscar Ronnkvist: Thank you very much.
Allison Kirkby: Thank you, and maybe, Laura, we'll have the next question.
Operator: The next question is from Nick Lyall at SocGen. Your line is open. Please ask your question.
Nick Lyall: Good morning, Allison. Hope you're well. Hello, Eric. A quick one on the Swedish ARPU, please, Allison. It was a little bit sluggish this quarter. All the other numbers obviously are pretty good, but Sweden seems to be struggling to pick up a little bit less last quarter. Tele2, again, yesterday talked about the low end of the market being tough. Is there anything you're seeing maybe in the tough end or some difficulties getting price rises through or spin-down that maybe is explaining that? And then on TV/Media, could I just ask, could you give us a rough idea of the sales, the revenue you make from the UEFA contract, if that's possible? So we could try and work back to what savings you need once if UEFA goes. Thank you.
Allison Kirkby: Okay. Thanks, Nick., and I am very well. Thank you for asking. Swedish ARPU, we're not seeing any real change in the market. We have to stop a lot of the front-book pricing where we can, and we are happy that the low end of the market is nudging up. We have benefited from that continued shift. There's not -- we've actually seen the low end of the market. The growth is actually slowing relative to previous years, and we've got a decent brand that picks up some growth in that segment with Fello. And then what we are proactively doing, and it's probably a contribution to the all-time low churn in Telia, is expanding the extra SIM and the family tariffs, which are now in 30% of our Telia base. So -- and that is what is basically offsetting the ARPU development that you're seeing from front-book pricing. But no major change in the market for us. We are happy that we're still sustaining a premium position in a market that has some weak consumer trends in it. But we're probably relatively less exposed to the really low end of the market because Fello is still very small. But we are doing all we can, as I said to the last question, to ensure the ARPU growth is restored. And it's nice to hear that some of our peers are considering the same because we have been absolutely very rational and really increasingly seeing that as we shift into our own channels, we can have a much more loyal and much more valuable customer base going forward. In terms of the TV/Media, I guess, if you believe the market assumptions at the time, the Champions League costs us SEK 1 billion a year. And let's see what the outcome of that auction is. I think there will be much less demand from any player to pay SEK 1 billion a year in this next auction, but let's see. And that ends in the spring.
Nick Lyall: The question also was actually on the revenue you made from UEFA. I know you don't split it out, but could you give us a rough idea of that at all? Because it's -- obviously, that's the flip side of maybe not bidding for it is your revenue grows as well, and now we need to work back...
Allison Kirkby: Yes, we've never defined it that way. Yes, Nick, we're never going to separate that out. We sell a bundled product with all of the premium floor. And subject to whoever wins the rights, Telia has a big customer base. That rights owner will want to continue to sell to because they'll need to. So I would expect that whoever gets the rights, they'll still be working with Telia in some way because they'll need that customer base to justify the investment.
Nick Lyall: Okay. Understood. Thanks, Allison.
Allison Kirkby: Thanks, Nick.
Operator: Our next question is from Jakob Bluestone at BNP Exane. Your line is open. Please ask your question.
Jakob Bluestone: Hi, thanks for taking the questions. I have two, please. Firstly, when I look at the acceleration of EBITDA, it's quite large. But at the revenue level, it's a sort of more modest improvement. So it looks like it's mostly cost related and half of that is energy. And I guess the other stuff is other things around OpEx. And so I guess the question is, can you maybe give a little bit more color on how sustainable some of these cost efficiencies? Or specifically, was it exceptionally concentrated this quarter? And could we maybe see some of those moderate, maybe not next quarter, but in some of the future quarters? So just sort of help me understand a little bit what's going on with other costs aside from energy and you obviously made a reference to salaries. And then just secondly, maybe a question for Eric. Just to be interested -- so welcome. And secondly, I would be interested in hearing what your priorities are coming on as CFO of the group. Thank you.
Allison Kirkby: Thanks, Jakob. So I think just building on the answer I gave earlier at Andrew, the -- if you strip out energy from the 9.3% EBITDA development, you get to 7.6%. And then if you take out some of the one-offs we had from FX or some one-offs last year in Sweden, that probably takes you closer to a 6% underlying development. Why is it so strong this quarter? Well, a lot of that revenue development is coming from pricing. And in Norway, in particular, it's coming from very high-value Wholesale growth. And so it's a very positive pricing and mix effect. In fact, we'll get 4.2% growth in the Swedish Wholesale business as well. So that comes with very high gross margin. And the operational expenses, as you saw, were not dramatically down year-on-year. We're doing a decent job offsetting the inflationary pressure. But I'd say, as I said to Andrew, stripping out energy, stripping out one-offs, if the revenue momentum is coming from core Telco, which it is, you can easily see that low-single digit on the top line converting into mid-single digit on the bottom line, and that's why you can see a sustainable 4% to 6%. As you look forward, as I said, we've already struck our salary deals in Sweden and Finland next year, and they are going to be in the 2.5% to 3.5% range, whereas this year, they were closer to 4.5% to 5%. So that will take a little bit of pressure off of next year, but we're going to continue to be very disciplined and structured on how we take pricing into next year as well. And with a good Wholesale business and an Enterprise business that's increasingly index-linked, we'll still benefit from slightly higher heightened inflation for the foreseeable future. And over to you, Eric.
Eric Hageman: Thank you. So I guess what we see today is that we have the right strategy. So one of my priorities is to make sure that the business also in this transitionary phase remains totally focused on execution of the strategy. And what that ultimately means is we need to keep momentum on a profitable growth and a strong profitable growth that we printed today. And I think there is an opportunity to improve cash conversion. And if you look specifically what that means is there is some improvement to be done on working capital, but I guess we come back to that next year. More specifically, if you think about priorities, it's about delivering the 2023 numbers versus the guidance that we've upgraded today coming with a robust solid plan for 2024, and I think another one is making sure we get the deal in Denmark up.
Jakob Bluestone: Very clear. Thank you. If I can just follow up on one point on Allison's comments. I mean if I look at your gross margin, it stayed about flat year-on-year. And maybe I'm calculating it wrong just doing revenues minus COGS. Is there maybe that some of the higher-margin activities are somehow flowing through to things below and maybe that's the wrong way to look at it?
Allison Kirkby: I don't -- really haven't looked in that level of detail. But as we look at the business like-for-like, stripping out all of the FX, there's probably a bit of FX conversion of non-Swedish revenues coming through, I don't know now, but as we look at it, 60% to 70% of our growth is coming through pricing, and that just flows straight to the bottom line. And we've, as I said, a very strong Wholesale mix. So maybe you can spend a bit of time off-line with the IR guys...
Erik Strandin Pers: Yes, after the call and look into it for more detail.
Jakob Bluestone: Perfect. I appreciate that. Thank you very much, and good luck as well on the new role.
Allison Kirkby: Thanks, Jacob.
Operator: Our next question is from Erik Lindholm at SEB. Your line is now open. Please ask your question.
Erik Lindholm-Rojestal: Good morning, and thank you for taking my questions. So two questions from me, if I may. So energy, of course, very nice tailwind in the quarter, but still a much smaller tailwind than the headwind you've got last year, of course. So can you talk a bit what you expect here for Q4 and into 2024 in terms of energy? I mean, how does your hedging look, et cetera? And then the second question, sort of given the structural part of free cash flow now guided quite close to the dividend coverage for this year, can you talk about sort of how you view the dividend in light of it? And what would you say are the sort of key puts and takes on free cash flow into next year?
Allison Kirkby: Why don't I start with the dividend question and structural part of free cash flow and then Eric will take the energy question, Erik. Yes, no, we have all -- the Board, first and foremost, the Board decided the dividend. And the Board has always remained committed to the dividend despite the short-term macro headwind putting pressure on operating free cash flow this year because they, at the least, was that the macro headwinds were either temporary in nature or we would mitigate them. And after the 12-, 18-month period, we'd be back on track. And I think that is what you are now seeing, and so they were very willing to live -- we've taken a little bit of a stretch on our leverage to sustain the dividend. And now this proves that we have generated the cash even in a year where energy is still heightened and we have the TV/Media headwind, but our structural cash flow is able to cover the dividend. Now clearly, we want our full operating free cash flow and our net cash flow to cover the dividend, and that is the ambition of the strategy and that is part of the plan as we look into next year and the year beyond. But that will be for Eric to work with new CEO and the Board on next year's dividend. But I'm just delighted what's coming out of this year with at least structural cash flow now covering the dividend, Erik. We're absolutely moving in the right direction, and the Board have been quite explicit on their support for maintaining that dividend. And Eric, over to you.
Eric Hageman: Yes. On energy, unless -- IR, correct me, I think it's SEK 120 million impact in Q3. We expect something similar around that number for the fourth quarter. And then if you think about 2024, it's a bit early to be guiding for it because typically, we do that on the 26th of January. At least to give you some idea, we expect a similar number that you see in Q3 and Q4, but for the full year of 2024.
Erik Lindholm-Rojestal: All right, thank you.
Operator: Our next question is from Siyi He at Citi Group. Your line is open. Please go ahead.
Siyi He: Hello. Hi, thank you for taking my questions. I have two, please. The first question is really on the price increase that you have done this year and how you think about it for next year. Obviously, this year, because of the inflation, the price increases compared to previous years has been relatively high. Just wanted to get your idea of how do you think about next year's price increases, what kind of headroom you have given that inflation is trending down at the moment in Nordic countries? And my second question is on the free cash flow. I'm just curious that in your presentation, you showed the phasing of the free cash flow trend, and that looks quite different compared to the one that you put out in Q2, especially on the structural part of the operating free cash flow. I'm wondering if you can just walk us through where do you see this positive surprise coming from compared to where you were at Q2 results? Thank you.
Allison Kirkby: Hi, thanks for the question, Siyi. On the price increases, as we move into a more inflationary period, we took a view at our structural approach to pricing. And we saw that we had a very good approach to broadband pricing, TV and Media pricing where we had a very regular rhythm of pricing, and in the Enterprise base in Norway where we had index-linked contracts. So as we then -- what we then took from that was how do we have the same approach in mobile and how do we take what we've learned in the Enterprise base in Norway across the board. And so now we review the pricing much earlier than we previously did. We review it linked to expected inflation. And I would expect that, yes, with inflation coming down, the increments might not be as much as they were, but we've actually got a much more disciplined approach now anyway than we ever had before. For example, as I said, all new Enterprise contracts are index-linked; they never were before. And Swedish inflation is still pretty high. So this year, we probably only had about 5% of our customers in Sweden on an index-linked contract. Next year, that moves closer to 15%, and that's happening in all of our markets. So some of the headline increments might be a bit lower, but I'd say we've got a much more disciplined approach across all segments, across all markets than we ever have before, and we are ahead of the curve and already agreeing what the pricing looks like moving into next year. On free cash flow, I'll let Eric finish my commentary. But the big shift up was the over-delivery in EBITDA in the third quarter. The Telco momentum got a lot stronger in the third quarter, and we were probably still being a little bit more cautious on TV/Media as we were moving into this quarter as well. But Eric, is there anything else there?
Eric Hageman: Yes, I think the point was where we sort of guided to a slightly different shift between Q3 and Q4. So what we're seeing is basically what we didn't see come through in Q3 from working capital, we now obviously expect that to come back in Q4. So this is what we call phasing on that page in the deck. I think the main thing is what has been guided for the whole year with regard to cash flow and working capital impact on cash flow still holds in that it was always going to be a big outflow in H1 and then a big inflow in the second half of the year. And what we see is that the mix between Q3 and Q4 have shifted a bit more into Q4. So we expect a big inflow in the fourth quarter to recover pretty much all of this. And maybe just to give you a sense, what we didn't expect for the full year, overall, it's probably neutral to a small negative when it comes to working capital for 2023.
Siyi He: That's very clear. Thank you very much.
Operator: [Operator Instructions] Our next question is from Andreas Joelsson from Danske Bank. Your line is open. Please ask your question.
Andreas Joelsson: Yes, thank you. Good morning, all. Just for Eric, perhaps. I know you don't want to talk maybe too much into 2024, but I think investors have been sort of a bit puzzled about the volatility on working capital. So if you could share some light in how you see or the visibility you have for working capital in 2024, if it's going to continue to be volatile or what you could see. And maybe also for Allison, after the auction, you have a much stronger spectrum portfolio. How can you utilize that in terms of network quality and use it commercially as well with regards to pricing growth? Thanks.
Allison Kirkby: Okay. I'll take the last question and then pass to you. And thanks for the question, Andreas. Well, more spectrum means that we can invest slightly less CapEx. And it just reinforces that we will be the undisputed network leader for the next 25 years. And we will continue to commercialize not just the connectivity piece on its own, but how that enables the best coverage in the country, the best speeds in the country. And if you combine it with the security services and the best aggregated TV services, there's nowhere else to go to buy the combination of everything that you can get from Telia. Our network perception, even with the existing spectrum gap that we've had, we have sustained and built our network position this last year. And we'll just keep doing that by never letting go of that network leadership because it's clearly allowing us to sustain a premium position. And now that our competition has walked away from a 15-year leadership in spectrum, it just gives us confidence we can sustain that indefinitely, Andreas.
Eric Hageman: Yes. And then on working capital or the volatility thereof, we talked about a lot and maybe it's the sort of the more short-term answer to the question that I got earlier, as in what are your priorities, Eric, this is my immediate priority after the results to get a better handle of that. And I think what I can tell you is that we will go with the team through all the individual line items in our cash flow statement and what ultimately makes up your working capital. For one, you've seen how we guided on the VF balance, right, SEK 11.4 billion last year and then we'll end up SEK 11 billion. Obviously, we will work hard to drive down that balance over time because I think that will certainly help with making this number much more predictable and get a better handle on it and in essence then flows in the gap between operational and structural operational free cash flow. So we get more on that on the 26th of January, Andreas.
Andreas Joelsson: Perfect. Sounds good on both answers.
Allison Kirkby: Thank you, Andreas, for the feedback. We love you.
Operator: Our next question is from Adam Fox-Rumley at HSBC. Please go ahead. Your line is open.
Adam Fox-Rumley: Hi, everyone. Thanks. I had two, please. So one was on Finland. And financially, the result is very strong. But I wondered if you could just comment on the operational status of the business. Obviously, you've had a lot of efforts going in to improve and transform the way you go to market in that market and the underlying performance there. So are you where you want to be? 80% of the way you want to be? Or kind of how would you characterize where Finland is now versus your expectations operationally? And then secondly, a kind of question on the attitude to CapEx into the medium term. You've got your kind of general band for where you want CapEx to be in the future. You said you're past 5G peak. So I guess I'm trying to just get a sense of whether or not you think there's a little bit more scope for CapEx to trend down over time or whether there's always something incremental that you want to be investing in and passing network CapEx peak just provides more opportunities to spend some of that kind of notional surplus in other places. Thanks very much.
Allison Kirkby: Thanks, Adam, for the great questions. On Finland, yes, we've had, I think, particularly strong turnaround commercially, operationally and financially in the Consumer mobile space. And I'd say we're probably 80% to 90% of the way there, but there's still more we can do to drive fixed wireless access and to address some of that low-end all-pay business that we have that is still very, very low ARPU. But I am happy that the team that we now have in place are absolutely focused on the right things to now build from the renewed brand perception, network perception, quality perception and really start to build from the strength in mobile and to make it a more converged play, but using fixed wireless access and selective fiber and upgrading the speeds and the quality of some of the old all-pay stuff. I think there is much more to be done in B2B, and that's where we've done a good job on holding up what is sustaining kind of pricing in the data and the mobile services. But if I look at how far we've gone in Sweden by establishing ourselves as the digitalization partner of choice to enterprises large and small, so that is combining security and Office 365 with great connectivity for the SME and going much deeper with the larger enterprises, we're nowhere near done that in Finland. And so I think there is still transformation and growth momentum to be had in Finland B2B following in the steps of what we're seeing in Sweden. So I'd score myself probably seven to eight out of 10 on the Consumer side and four to five out of the B2B side, which says that there's still more to go after for the team. And then on attitude to CapEx, we've always been very clear that we think the business requires a CapEx of around 15% CapEx-to-sales ratio. And that's what we're kind of planning around at the moment. We've not finalized the plan for next year, but that's where we are looking. And we're actually seeing that there is some growth opportunity for us to be had in certain CapEx areas at the moment. So we want to stay around that 15% and probably not expect a trending down until we fully modernize our IT stack because our CapEx is about 1/3 network, 1/3 IT and 1/3 customer-related. And I think whereas you've seen mobile come down, we need to sustain the fixed investment and we need to sustain the IT and the customer investment in the foreseeable future.
Adam Fox-Rumley: That's great. Thanks very much.
Operator: There are no more questions in the queue.
Allison Kirkby: I think that is the end of a great quarter. Thank you for your questions, and we all look forward to seeing some of you in the coming days.